Operator: Welcome to the Cushman & Wakefield Fourth Quarter 2020 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] It is now my pleasure to introduce Len Texter, Head of Investor Relations and Global Controller for Cushman & Wakefield. Mr. Texter, you may begin the conference.
Len Texter: Thank you, and welcome again Cushman & Wakefield's Fourth Quarter 2020 Earnings Conference Call. Earlier today, we issued a press release announcing our financial results for the period. This release, along with today's presentation, can be found on our Investor Relations website at ir.cushmanwakefield.com. Please turn to the page labeled Forward-looking Statements. Today's presentation contains forward-looking statements based on our current forecast and estimates of future events. These statements should be considered estimates only and actual results may differ materially. During today's call, we will refer to non-GAAP financial measures, as outlined by SEC guidelines. Reconciliations of GAAP to non-GAAP financial measures and definitions of non-GAAP financial measures are found within the financial tables of our earnings release and appendix of today's presentation. Also, please note that throughout the presentation comparisons and growth rates are to the comparable periods of 2019, and are in local currency. For those of you following along with our presentation, we will begin on Page 5. And with that, I'd like to turn the call over to our Executive Chairman and CEO Brett White. Brett?
Brett White: Thank you, Len. And thank you to everyone joining us today. Before I start with a brief review of our fourth quarter performance, including some color by region and service line, I wanted to let you know we have again invited Kevin Thorpe, our Chief Economist, to join us today to provide some commentary on the recovery and, more specifically, office. Following Kevin's comments, Duncan will provide additional detail on our financial results for the quarter and the full year. First, I want to thank our team of Cushman & Wakefield professionals around the world. It goes without saying that 2020 was incredibly challenging and our employees' perseverance, creativity and service to our clients continued to go above and beyond. For those who have continued to support frontline operations through the pandemic, to those delivering new and unprecedented solutions to our clients, I continue to be extremely proud of how our people have risen to the occasion. Second, as previously announced, our Chief Financial Officer, Duncan Palmer, will be retiring as of February 28. Duncan is a first class CFO. He's been a terrific partner to me and has added significant value to Cushman & Wakefield, and I can't thank him enough for his work and friendship over the past six years. From the merger to numerous acquisitions to a very successful IPO, a global pandemic, and everything in between, he has excelled, and we wish Duncan all the best in his next chapter. Neil Johnston, our incoming Chief Financial Officer, has an impressive pedigree, as well, and we are lucky to have him, and look forward to him becoming CFO on February 28. Neil brings 30 years of finance and executive leadership experience, having previously served as the CFO of Presidio and Cox Automotive. Neil's looking forward to meeting our investors and analysts in the coming months, and we look forward to him joining us on our first quarter earnings call. With that, let me turn to our results. Cushman & Wakefield reported fourth quarter consolidated fee revenue of $1.6 billion and adjusted EBITDA of $198 million. Overall, we were encouraged by the performance across our portfolio, including Brokerage, where revenue exceeded expectations, particularly in Americas Capital Markets. Additionally, we delivered significant cost savings in the quarter from the decisive cost management actions taken earlier in the year, as well as continued tight management of discretionary costs. For the full year, we reported fee revenue of $5.5 billion and Adjusted EBITDA of $504 million. The impact of Leasing and Capital Markets revenue declines of 34% and 26%, respectively, were partially offset by the continued stability of our PM/FM service lines and over $300 million of cost savings realized in the year in 2020. For the year, our decremental margins were 24%, which was consistent with our guidance. Duncan will provide additional detail on our results for the quarter and full year. I would summarize our fourth quarter results as a balance of encouraging signals on business activity, especially in Brokerage, and validation of our commitment to operational excellence. We have executed very well in a very fluid and uncertain environment. With that, let me provide an overview of the market and what we saw across our service lines in the fourth quarter. As expected, our PM/FM service lines were a continuing source of stability this year. These contractual fee-based revenue streams represent just over half of our total portfolio this year. Throughout the pandemic, our teams in these businesses have been directly supporting our clients by keeping essential buildings open, reconfiguring offices and retail outlets for social distancing, providing enhanced cleaning and specific facility services to ensure buildings are safe for tenants. In addition, our Global Occupier Services business continued to win new assignments and renew existing client engagements for outsourcing services, as large occupiers continue to focus on operational efficiency through the downside, including recent wins of renewals with Citibank, Digital Realty and SunLife Financial, just to name a few. On balance, we expect to continue to benefit from these trends, as Cushman & Wakefield is one of the three large firms that provide comprehensive and scaled outsourcing solutions on a global basis. As mentioned, Brokerage activity was ahead of what we expected for the quarter, as Leasing and Capital Markets were down 37% and 14%, respectively. More specifically, we saw Capital Markets in Americas decline just 3% versus the fourth quarter of 2019. Capital Markets revenue was driven by a couple of factors. First, there remains a significant amount of capital that has been raised for commercial real estate investment sitting on the sidelines. Transaction velocity, that had been lower at peak pricing, has accelerated as sales prices and resulting buyer return requirements have narrowed over the year in a very low interest rate environment. Additionally, we believe that sellers were more active in anticipation of potential changes to tax rates with the new U.S. administration. In Leasing, we continue to see positive momentum for industrial warehouse and data center space, which was already performing well. As we have discussed, near-term office fundamentals remain less clear, as businesses continue to assess space requirements, as vaccinations become more abundant and the recovery advances. As you will hear from Kevin in a minute, we believe, and as the data shows, the structural impacts of work-from home trends will likely be offset by economic growth and office-using job growth, which will lead to a full recovery in office over time. I regularly hear from other CEOs on the significance of the office in their organizations. Kevin will highlight some recent data that echoes these sentiments and, more specifically, points out the importance of the office for collaboration, team building and culture. Turning to the balance sheet, our capitalization remains quite strong, with cash of more than $1.1 billion and liquidity totaling $2.1 billion. Going forward, this strong financial position gives us tremendous flexibility and positions us to take advantage of growth opportunities, including infill M&A, or larger opportunities, should they arise. Going forward, the outlook for 2021 contemplates continued uncertainty in the near-term environment and, in particular, a challenging first half. We anticipate continued stability and growth in PM/FM and some level of recovery in year-over-year Brokerage revenue, particularly in the second half of the year. We remain very focused on operational excellence and plan to deliver additional permanent cost reductions in 2021, building on our strong execution in 2020. These permanent cost reductions will largely replace many of the temporary cost reductions we realized in 2020, and should, in the long term, enable a return to 2019 margins, even before the recovery in Brokerage revenue is complete. As we said on the third quarter call, we do expect an increase in operating costs in the first half of 2021, driven by a return to a more normal year of bonus compensation for non-senior staff. Despite the ongoing near-term challenges facing in the industry, we believe the consolidation of share to firms like Cushman & Wakefield, that have the capability, resources and scale to solve the challenges our clients face each day, will likely continue to increase. In summary, I continue to be very proud of our team and our execution throughout this past challenging year. Cushman & Wakefield's holistic expertise, global market intelligence and thought leadership have never been more important to our clients. With that, I'd like to turn the call to Kevin to provide a few comments on the recovery, and more, specifically office. Kevin?
Kevin Thorpe: Thank you, Brett. Hello, everyone. If you could please turn to Slide 6. From a market-wide perspective, if I had to sum up the impact that the pandemic is having on property in one word, that word would be uneven. Depending on the property sector, the geography, the virus' trajectory, the policy response, we continue to observe a mix of strong performance in certain sectors, weak performance in others, and varying degrees in between. Clearly, the situation remains fluid. The trajectory of the virus, the rollout of the vaccines, confidence, all of these are still moving targets. Though, admittedly, the outlook remains clouded, we're making predictions during a period of exceptional uncertainty, but we also learned a lot last year which will help inform the future. As we look ahead, most economists are cautiously optimistic that the worst of the pandemic's impact on the economy is largely behind us and, by extension, the worst of the impact on the property market is also largely behind us. The path of the virus is central to the recovery, so let me start there. As you know, it was a difficult start to 2021. The spread of the virus was intensifying into the New Year and new variants introduced new downside risk to the economic outlook. More recently, however, some encouraging trends are forming. We note that as of mid-February over 18% of the U.S. adult population had received at least one dose of the vaccine. We also note that the seven-day moving average of vaccines being administering was trending up and that the number of vaccinations was easily outpacing the number of new confirmed daily infections. Most baseline forecasts assume that vaccines will be widely distributed by mid-2021 in most advanced countries and in some emerging markets. In the U.S., it is currently assumed full herd immunity will be reached in or around September of this year, and possibly as soon as this summer. Economic outlooks have been revised upwards. The general consensus now assumes U.S. real GDP will grow in the 4% to 5% range in 2021, but more recent forecasts in the higher end of that range. Globally, real GDP is now projected to grow by 5.5 this year, according to the IMS. The upward revisions largely reflect expectations of a successful rollout of the vaccine, in combination with additional policy support. Because of the upward revisions, U.S. real GDP is now expected to return to pre-crisis levels by the second half of this year, which is six to months faster than what was originally assumed in most baseline forecasts. Employment forecasts have also been revised upwards. Next, please turn to Slide 7. Though the stronger economic backdrop also puts the property market on a faster road to recovery, though, again, I would emphasize the path forward will be uneven. As we observed last year, the pandemic accelerated a few trends that were already in the making, and because of that, certain property sectors have recovered more swiftly. The industrial sector, for example, benefited greatly from the accelerated shift to online shopping. In the U.S., industrial space absorption registered at 268 million square feet in 2020, which was higher than the levels observed in 2019, and industrial occupancy is currently hovering at near record highs. Data centers, life sciences, self-storage are other sectors that are benefiting from secular shifts and accelerating trends, and we do expect these strong trends to continue in 2021. The apartment sector was another bright spot, particularly in the Capital Markets last year. The apartment sector was the leading property sector for investment in the U.S. in 2020, and it also gained share in Europe and Asia-Pacific as a percentage of total sales volume. In terms of the office sector, as it concluded in our Impact Study last year, office occupancy—meaning the total amount of occupied office stock and rental rates will fully return to pre-pandemic levels, but the exact timing depends on many factors, many of which, at this stage, are unknowable. Like other sectors that rely on bringing people together, much of the recovery ties directly to the path of the virus itself and the rollout of vaccines. But here's what we know. We know that the pandemic had a significant impact on office leasing fundamentals last year. In the U.S., we observed 104 million square feet of negative absorption in 2020, with vacancy rising from 12.9% pre-pandemic to 15.5% by year end, and we know that the work-from-home dynamic still needs to filter through. We also know that, according to multiple studies and surveys, conducted both by the commercial real estate industry and outside of the industry, most companies do plan on returning to the office when it is safe to do so. In various focus groups and studies, very few businesses are indicating that they plan to move to a 100% remote working model. In fact, according to a recent survey conducted by PricewaterhouseCoopers, 87% of executives believe the office is critical for collaborating with team members and building relationships, while the remaining 13% are considering a more virtual remote working model. Although there is no consensus on the optimal balance of remote versus in the office, it will undoubtedly vary greatly, based on many factors, such as the business itself, the industry, the job function, personnel and other factors. Most surveys show that the majority of employees and employers expect to spend two to four days in the office post-COVID. It's this fact, in combination with the fact that the economy will continue to produce knowledge-based workers, positions that typically drive demand for office space, indicates that the office sector will continue to play an important role in an organization's strategy and structure. We also note that in certain parts of the world, where the virus has been more contained, the office sector has already started to rebound. In the Asia-Pacific region, for example, office space absorption region-wide turned positive in the second half of 2020, and office sales volume increased by 9% in the fourth quarter, compared to a year ago. Although every region of the world is different, the trajectory in Asia-Pacific is a useful guide. When the virus becomes less threatening, the office sector will begin to recover. In terms of office leasing in the U.S., we also note that last year we observed an abnormally high percentage of short-term renewals. Not only did renewals account for an unusually high percentage of leasing activity, but nearly one third of those renewals were for one year or less, which is nearly double the norm. These short-term renewals could translate into an increase in leasing volume activity in late 2021 and 2022, as there is a broader return to the office. Lastly, on Slide 8, and importantly, we know that the Capital Markets entered 2021 with momentum. According to data from Real Capital Analytics, global sales volume plunged in the second quarter of last year, which was the nadir of the recession, but since then volumes have generally been trending upwards. In December, U.S. sales volume for all product types registered at nearly $71 billion, which is on part with some of the strongest months of activity on record. The drivers of demand do appear to be gaining momentum due to the following factors: the low interest rate environment; the attractive yield gap, which is the cap rate spread over a long-term sovereign bond; pent up demand for real estate assets; and pent-up demand from cross-border capital. Again, there is still a great deal of uncertainty and there are many alternative scenarios to the ones I've described, but the virus and the economy follow the most probable script, and there are also strong reasons to be cautiously optimistic. With that, I'd like to turn the call over to Duncan. Duncan?
Duncan Palmer: Thanks, Kevin, and good afternoon, everyone. Before covering our fourth quarter results, I wanted to build on a couple of items that Brett mentioned earlier. As we've said on past calls, we've been actively managing our costs in 2020. As a result, we achieved over $300 million in savings, consistent with what we said during the year. These actions include the permanent cost initiatives announced in March, which contributed $125 million of savings in the year. All of these actions have been completed. In addition, we achieved over $175 million in temporary savings during the year. These savings included reductions in travel, entertainment and events, reduced spend on third party suppliers, staff furloughs, and part time work schedules in impacted businesses. Government subsidies and support comprised $37 million of these savings. Also included, the total annual bonus compensation for non-fee earners in 2020 was significantly below target. Above and beyond the cost reductions, variable costs in 2020 declined as a result of lower revenue across different service lines and geographies. These reductions include broker commissions, fee earner profit share, direct client labor and materials and third-party subcontractor costs. In addition, our financial position is strong. We ended the fourth quarter with $2.1 billion of liquidity, consisting of cash on hand of $1.1 billion and a revolving credit facility availability of $1 billion. We had no outstanding borrowings on our revolver at any point in 2020. We managed our liquidity to bolster our financial position and flexibility. As we have mentioned, we are actively looking for opportunities to acquire through in-fill M&A. And we are well positioned should opportunities arise. With that backdrop, on Page 10, we summarize our key financial data for the fourth quarter and full year. For the fourth quarter, fee revenue of $1.6 billion was down 15% and Adjusted EBITDA of $198 million was down 34%, as compared to 2019. The ongoing stability of our PM/FM service lines partially offset the impact of declines in our Brokerage and Valuation and Other service lines. On balance, fee revenue trends for the fourth quarter were ahead of expectations, particularly in Brokerage. For the full year 2020, fee revenue was $5.5 billion, down 14%, and Adjusted EBITDA of $504 million was down 31%, versus 2019. Decremental margins were 24% for the full year, which was in line with our projections. Moving on to Pages 11 and 12, where we show fee revenue by segment and by service line. For the fourth quarter, Leasing and Capital Markets revenue declines of 37% and 14%, respectively, were better than our expectations, particularly in Capital Markets. As Brett mentioned, there has been significant capital invested in commercial property in an environment where we have seen narrowing of the spread between price expectations and return requirements. Additionally, we also believe that some U.S. deals which were delayed throughout 2020 were pushed through to closing at year-end in anticipation of potential tax rate changes. While encouraging, we are cautious with regard to our expectations in this service line as we look at the first quarter of 2021.Helping to partially offset these Brokerage trends was the stability we experienced in our PM/FM service lines, which was up 1% in fourth quarter and for the full year. Excluding the impact of the deconsolidation of the revenue associated with the China JV executed with Vanke earlier this year, our PM/FM service line was up 6% for the quarter and full year. This mid-single-digits growth has been typical of what we have seen in prior years. Within PM/FM, Facilities Services represents just under half of the fee revenue. In Facilities Services, we typically self-perform or subcontract a variety of services through our operations in both the Americas and APAC. This business generates solid cash flow on a stable revenue stream, and on an annualized basis typically has low-single-digit growth. In 2020, Facilities Services in the Americas was up 7%, compared to 2019, reflecting strong demand for our services during the COVID period. With that, we will start a more detailed review of our segments, starting with the Americas, on Page 13. Fee revenue in our Americas segment was down 12% for the quarter. Leasing and Capital Markets were down 40% and 3%, respectively. These trends were partially offset by PM/FM, which was up 7% for the quarter. Within our Americas PM/FM service line, our Facilities Services operations represent a little over half of our fee revenue and were up 7% for the quarter, as well. We saw a very strong finish to the year in Capital Markets, and we will be monitoring this encouraging trend closely in 2021. Leasing trends in the fourth quarter were broadly in line with our expectations in the Americas. Americas Adjusted EBITDA of $127 million was down year-over-year, primarily due to the impact of lower Brokerage revenue. This impact was partially mitigated by the permanent and temporary cost actions in this region. Moving on to EMEA, on Page 14. In EMEA, fee revenue declined 16% for the quarter. For the quarter, Leasing, Capital Markets and Valuation and Other were down 28%, 35% and 18%, respectively. These declines were partially offset by growth in our PM/FM service line, which was up 14% for the quarter. Fourth quarter Adjusted EBITDA of $43 million was down $22 million, or 38%, versus the prior year, primarily due to the impact of lower Brokerage revenue. This impact was partially offset by cost saving initiatives and growth in our PM/FM service line. Now, for our Asia Pacific segment, on Page 15. Fee revenue was down 24% for the fourth quarter. The deconsolidation of the PM/FM revenue associated with the joint venture in China with Vanke Services accounted for nearly half of this decline. Our PM/FM service line represents roughly two-thirds of the fee revenue for the segment. Leasing and Capital Markets were down by 27% and 44%, respectively. Capital Markets was down primarily due to a continued slowdown in activity in Hong Kong, which is largely unrelated to COVID. Fourth quarter Adjusted EBITDA of $27 million was down $19 million, or 44%, driven by lower Brokerage revenue, partially offset by our cost savings initiatives. Turning now to Page 16. The near-term business outlook environment remains highly uncertain and we continue to have limited line of sight to revenue trends in our Brokerage service lines. While we believe there will be a full recovery in Brokerage revenue over time, the shape and speed of this recovery continues to be difficult to predict. We are hoping to see continued improvement in Brokerage in 2021, as the economy continues to heal, although we do expect the first quarter of the year to show a material decline year-over-year. In 2020, the impact of the COVID pandemic on our business began in March. Responding to this uncertain outlook, we've identified specific actions within our operating budget that will drive more permanent cost reductions impacting 2021, and beyond. Actions include converting some of the temporary savings from 2020 into permanent savings, as well as implementing a portfolio of projects across our segments and back office functions to improve efficiency and enhance our operating model. The impact of these cost savings actions will ramp up during the year and continue to have impact into 2022. We are not providing guidance for the year at this time. However, I would like to provide some remarks to help investors model our business where we do have reasonable line of sight. 2020 permanent cost savings contributed about $125 million in year and temporary cost savings, including a lower bonus expense, contributed over $175 million, again in year, giving a total over $300 million in savings. In 2021, we expect the additional permanent cost savings, which I have referenced, to contribute significantly and to offset much of the unwind in temporary cost savings that will inevitably occur throughout 2021. Net-net, at the end of 2021, as we enter 2022, and compared to 2019, we will have executed a significant reduction in permanent costs over the two years, even as most, if not all, of the 2020 temporary cost actions were unwound by then. However, in the year 2021 itself, the impact of permanent cost reductions will not be sufficient to cover the return to a more normal staff bonus expense, which we project will be a drag in 2021 of about $50 million, mainly impacting the first half of the year. We expect grow low to mid-single-digits in PM/FM in 2021. In Brokerage, we expect to see a decline in revenue in the first quarter and some recovery in the remainder of the year, especially if we continue to see economic recovery in the second half of the year. We do not expect Brokerage to recover to 2019 levels in any quarter of 2021, but to be clear, we do expect Brokerage revenue for 2021 to be up versus 2020, for the full year. As a result of the cost drag and the shape of the Brokerage revenue during 2021, we expect that our EBITDA will be more heavily weighted to the second half of the year than we would see in a typical year, such as 2019. We anticipate having a better view on the Brokerage recovery in the second half of 2021, and will provide an update on our expectations as visibility improves. As Brett said, you can be confident, that whatever the COVID pandemic outcome and economic impact, we will continue to focus on the welfare of our employees, supporting our clients, the financial strength of our Company and our profitability in 2021, and for the long-term. In closing, this is my last earnings call with Cushman & Wakefield. When I joined the Company in 2014, my objective was to support and lead our business through a period of rapid growth and transformation. I'm very proud of what we have accomplished, particularly taking the Company public in 2018. Today, Cushman & Wakefield holds a robust financial position among major firms in our industry and is poised for continued sustainable growth and success. I am very grateful for the partnerships that I've enjoyed with Brett, my Cushman & Wakefield colleagues and my Finance Team, and with many of you listening to this call. I congratulate Neil on his appointment to CFO and I wish him all the best. I look forward to watching the firm continue to grow and wish everyone continued success. With that, I'll turn the call back to the Operator for the Q&A portion of today's call.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from Anthony Paolone with JPMorgan. Please proceed with your question.
Anthony Paolone: Okay, thanks. And thanks, Duncan, for all your help over the last few years. Best of luck. My question is with regards to thinking about margins, given your commentary. If we think about the $50 million, which seems to be the year-over-year drag that you won't be able to offset, that would seem to imply that margins start at 80, 90, 100 basis points down, and then how should we think about the incremental margin that would help move that back up as we think about growth in PM/FM and Brokerage in 2021.
Brett White: Duncan, why don't you take that?
Duncan Palmer: Yes, can you hear me?
Anthony Paolone: Yes.
Brett White: Yes.
Duncan Palmer: Okay, good. So, yes, it's a good question. You've got the drivers there, is the mix of those three, so you're right for saying there's going to be a drag from bonus we won't be able to offset with permanent costs, about $50 million in the first half mainly, and then we're saying, yes, the thing that will obviously give us higher margins will be the organic growth. PM/FM is typically a little bit less margin rich than Brokerage. And so we expect to sort of low to mid-growth in PM/FM, that will obviously help on the margin side, but then the big question will be how much Brokerage growth we actually get, which will be really driven by the second half of the year. It's tough to say exactly, yes, exactly how much that'll be, but it'll be obviously at the highest incremental margins of those two areas. You've got a pretty good idea, I think, of what the decremental margins were last year purely on brokerage. So I think it's really just a question of mapping out the blend of those three, given the assumptions you want to make about Brokerage recovering in the back half of the year. We're not guiding to that, I don't think we have a crystal ball, but those will be the drivers. You've got those, right?
Anthony Paolone: Okay. Do you think the incremental low should be better than that 24% decremental you had in ---
Duncan Palmer: Yes, sorry. Thanks for clarifying that. Yes, it will be, because the decremental was after cost savings, right? If you thought about really what happened last year, just to kind of help you with the mapping here, we did 24% decrementals, mid-20s, that's kind of what we said we would do, but that was after all those cost savings we did. So, the decrementals before all the cost savings, obviously, were quite a bit higher than that, and so we'd be hoping in Brokerage to get incrementals that were quite a bit higher than that this year. It all depends on how much Brokerage revenue we actually get.
Anthony Paolone: Okay, got it. And then just my second question, maybe for Brett. Can you just give us an update as to how you're thinking about investing and acquisition opportunities? You mentioned the liquidity position and the ability to do in fill deals, but just wonder if you could size up the landscape and how you're thinking broadly there.
Brett White: Sure, I'm happy to. You're right, we're sitting at the moment in a very, very liquid position, a lot of capacity on the balance sheet. I think, given where we sit today and our outlook on the back half of this year, and then '22 and '23, which is getting a bit bullish. Our appetite for in fill M&A, our appetite for strategic recruiting is quite high. And we never truly turned off our search for good opportunities during 2020, but we certainly kept some on the back burner. And I think we're now at a place where, while we certainly don't have 100% certainty about our outlook for the year, we sure feel a lot better about the near-term and mid-term future than we did 11 months ago. So, lots, we are hoping. We'll see lots of opportunity in the in-fill M&A market, lots of opportunity in the strategic recruiting market. We have some particular areas we're focused on, both geographically and by service line, and we're leaning into those with real vigor right now.
Duncan Palmer: This is Duncan, if I can just come back in on the margin point, we made before. There's a point I forgot to make, which I think is probably pretty important, Tony, you'll probably appreciate this. But as I said in the remarks, and Brett made exactly the same statement in his remarks, the real net-net of all the costs we're doing is that by the time the temporary costs are sort of unwound, we will have saved a lot of permanent costs here. What that really means is that our ability to get back to 2019 margins, which were just a bit north of 11%, our ability to get back to those, we'll be able to get back to those at a lower level of Brokerage activity than we had in 2019. So, that basically means that we'll be able to sort of improve our overall margin structure with all the permanent costs we're taking out. Obviously, the timing is uncertain of that, but the nature of that strong permanent cost out is that we will be able to get back to '19 margins at a lower level of Brokerage activity than we saw in 2019, still as Brokerage is recovering.
Anthony Paolone: Okay, I think I understand that. Thanks.
Operator: Thank you. Our next question comes from Stephen Sheldon with William Blair. Please proceed with your question.
Stephen Sheldon: Hi, thanks. I appreciate the high-level expectations for 2021. I wanted to ask about the expectations for PM/FM to grow low to mid-single-digits. It seems to assume that the business growth is pretty consistent in 2021, as we saw the past few quarters. Is there anything notable that you're assuming that would keep that from accelerating more, including your ability to implement new mandates, and have there been any notable changes that you've seen in the competitive environment as you've pursued new contracts there?
Brett White: Sure. This is Brett. Well, first, as it pertains acceleration or deceleration of the growth of PM/FM, I would say that the structural trends in that business are playing out as we would expect they would, which is to say that this is a mid-single-digit - and in good years perhaps a high-single-digit growth, top0line growth business when you combine our PM/FM businesses, which includes a very large Self-Performance business. The trends in the industry right now are favorable for us and favorable for our two large peers, and nothing there has really changed. On the competitive landscape, no. This is really a three-firm business and I think clients are quite comfortable and settled with that, that they have choices, and good choices, in the industry for PM/FM services and Self-Performance services. There's a - I wouldn't say it's an even distribution of the work and we're fighting to get our fair share, having come from a much smaller place four or five years ago, but we like the trends we're seeing. I can tell you that we are seeing, in 2021, some mandates of a size and a quality that we have not been invited to pitch before; again, indicative of an ever-improving platform and a better competitive position for C&W. But, the PM/FM business and Self-Performance business for us remains very, very important to the long-term value thesis for the firm. It is a growth business; it was last year, it will be this year. And I would say that the competitive dynamics continue to favor Cushman & Wakefield and its two larger peers.
Stephen Sheldon: Got it. That's good to hear, thanks for that. I just wanted to ask about what you're seeing on the office property sales side, how do activity levels there look, and for deals that are happening, what have the buyers been willing to assume in terms of office leasing to get deals closed? And I guess, maybe more specifically, do office property buyers appear to be willing to assume that office dynamics, in terms of space utilized, lease pricing, et cetera will more or less fully recover?
Brett White: I think it's a mixed bag. In 2020, we certainly saw fewer of the marquee very large Class A office trades, as compared to the prior few years, and that's not surprising given the turmoil in the marketplace, and I think that there's a real bifurcation in the market among geography and among quality and size of assets. There are markets where I believe we are seeing buyers relatively comfortable around the underlying fundamental dynamics in the market and the occupancy rates and - let's call it mid-term rental rates with buildings. If you look at the data or the forecasts that are out there and you - let's consider these for a moment. At the moment, we're forecasting that vacancies peak in 2022, that we start to see rent growth begin to move positive in late '22, and absorption moving strongly positive in '22. So if a buyer is looking at a building with not a lot of rollover in the next couple of years, high-credit tenant, high-quality building, they're probably a bit more sanguine about their mid-term long-term underwriting than, say, a building with a lot of vacancy in it right now. But I would say it's a really interesting question. It's one that's not completely answered yet. I do believe that the first nine months of this year are going to give us a lot better signaling around how the investment community is going to look at high-quality Class A office assets mid-term long-term, but at the moment, I would say that the general investor market is pretty much aligned with what Kevin said, which is rough times for sure right now, like any recession. But the long-term prospects for high-quality Class A office space, and even Class B in good locations, is fundamentally sound, generally, in the long term. You saw it last year, we saw a number of trades in the office sector, people investing real capital in the office sector; we expect to see the same happening this year. But it's behaving not that much differently than any other fairly severe short-term recession. I think that people - the questions that are really unanswered right now are around same store office occupier footprint today versus what someone might renew or lease two or three years from now. I think it would be fair to say that most large office occupiers, as they think about their footprint today, would say that if they were renewing today or signing a new lease today, they'd try and get a bit less square footage. But, as Kevin said, that dynamic, and the work-from-home dynamic over the next three years, maybe a bit longer, maybe a bit shorter is mitigated by the growth in office employment. So, as we look at the office sector, and we look at the office sector as an investment and an investible class, asset class, the mid-term and long-term prospects for it, we believe, are positive, although it's going to be rocky for the next couple of years.
Stephen Sheldon: Got it, really helpful. Last one for me. On the first quarter Brokerage guidance, for it to be down, I think, Duncan, you said materially, can you frame at a high level any differences you expect to see between the Leasing Brokerage and Capital Markets?
Brett White: I would just say --- Go ahead, Duncan. Go ahead, you got it.
Duncan Palmer: Well, I was just going to say that the math is just simply - really, COVID kicked in sort of hallway through March last year. And so we'd expect year-over-year, to sort of see some decline driven by that, right. So I don't really have a specific point view as to the mix of that between Leasing and Capital Markets. I think what we did see, and maybe Brett will add to this in a minute, but the Q4 thing that we saw in Capital Markets, which was unusually strong versus what we had expected, we don't expect that to be necessarily a general trend all the way through 2021. I do think, for the reasons that Brett alluded to, that we think of that as something that happened in Q4. But I don't think we have a specific sort of view that the particular trend we're talking about in Q1 will be that much different between Leasing and Capital Markets. What do you think, Brett?
Brett White: Yes, I think, again, it's a bit of a mixed story. Right now, in this environment, very low interest rates, awash with liquidity, hard assets, like commercial real estate, are attractive. That, of course, is balanced by concerns around the office market and what it means when everyone goes back to work and how much space is going to be ultimately released into the market or not. And by the way, a lot of space has already been released in the market, 100 million square feet of negative net absorption in 2020 is already in the system. We expect a bit more in 2021, but less than we saw in 2020. Capital Markets, clearly, through this last recession and now the early days of recovery, Capital Markets are leading that recovery, which is not what happened in the GFC, but it's different environment. GFC, we had a crisis of liquidity. Today, we are awash in liquidity, dealing with other issues. So, Capital Markets is probably, I think it's fair to say, in better shape today than we would have expected. The Leasing markets, as Kevin said, you had an awful lot of commercial real estate occupiers kick the can for a year or 18 months down the road. Last year, if they had a lease coming up for renewal, they needed to - they need to do something with their lease. You can't do that forever. As Kevin said, that augers for perhaps a bit stronger recovery in Leasing as we get to the back end of this year and early next year. But, again, that also is partially mitigated by folks looking at their square footage and wondering if they can live with a bit less, rather than a bit more, as they would typically do. So, all of that to say we're in early, early days of recovery here. A lot of things have to fall in the right place for this to be a strong back end of the year. At the moment, we see some positive signals. Capital Markets, certainly in the fourth quarter, was a very pleasant surprise. Capital Markets, in general are active, and that's a good thing. And I do believe, as Duncan referenced in his comments, and Kevin did in his, that as we get to herd immunity, as we get to a post-COVID environment, there's going to be a pent-up demand of leasing activity, that has been curtailed during this shutdown, that is going to need to get dealt with in probably a positive way.
Stephen Sheldon: Great, thank you.
Operator: Thank you. Our next question comes from Vikram Malhotra with Morgan Stanley. Please proceed with your question.
Vikram Malhotra: Thanks for taking the questions. You've seen several sort of recessions in the Brokerage industry wearing different hats, and I know every recession is different. But I'm wondering, given what we know today, how is the visibility? I'm not talking about the pace of recovery, because that's difficult to predict, but just the visibility from leading indicators today versus sort of say prior recession. Is visibility better, similar, worse? Is there anything that you feel is different?
Brett White: It's a good question. Well, first of all, in terms of visibility. Every year we move forward, visibility for all the firms in this industry gets better, because we're using technology better. We're just getting better at examining, measuring and forecasting from pipeline activity and client data. I would say that, as we look forward from today and our visibility into how 2021 might behave and how '22 and '23 might behave, I would say that, certainly, the data we have we today, the forecasts and research we have today, feel to us to be certainly a bit more concrete, made better and higher quality than they were in the last recession, for a lot of reason. When you think about the mid-term here and the long-term here, as we've been repeating in the Q&A, there are number of data points that are positive. And we're watching those carefully, but it has to do with the pace of immunization, it has to do with the number of leases last year that were renewed for a year, instead of seven or eight or 10 years, it has to do with what we think GDP will look like this year and how that will translate into potentially job growth and occupancy of commercial real estate. Those are all very positive. The negatives are what we've talked about. The negatives are what is the long-term complexion, nature and function of office space. As we've said, we think that that's long term in good shape, short term under some pressure. But I would say that we're being very careful in providing forecasting data to you right now. We're not providing guidance, and that's for a reason, and that is there are so many variables out there that could move. But I would say, and you've heard it in our tone, we feel a lot better about what the back end of '21, '22 and '23 are going to look like than we did 6-7 months ago. But that's about as far as I'll take it, because in this environment, that could change, and it could change quickly. But at the moment our visibility is decent, pipeline data is good and we're watching it carefully. And I'd say that the comments that Kevin made, the comments that Duncan made about the year and the shape of the year, we feel pretty good about at the moment. Duncan, anything you want to add to that?
Duncan Palmer: Yes, I was agreeing with you, Brett. I mean, the thing is, obviously, the recessionary event this time around, because of it being potentially a natural disaster, you've got this sort of second quarter '20 was very much a trough, and so really now we're just sort of dealing with the aftermath of that event and sort of recovery from it, as opposed to waiting to find bottom. We kind of know where bottom was. Now, we're just talking about speed of the recovery, nature of the recovery, patchiness of the recovery by sector, tough to predict, but we're no longer trying to find bottom. So it's more sort of judging the recovery, and the other thing that's obviously very different this time around is Capital Markets. It looks like a much stronger leader than it was maybe when it was lagging in GFC.
Vikram Malhotra: That's interesting.
Brett White: The thing about this, Vikram, as you asked the question, thinking about this, if you're shaping a model and you think about how do you model '21, '22, '23, compared to coming out of the GFC, and there's a couple of variables that are different. One is, in this situation, Capital Markets are much healthier right now than they were year one from the trough of the GFC, just much healthier. The second is the question around office space in general, and so that is a potential negative variable. The rest of it is pretty traditional recessionary modeling. The pace of recovery, the type of recovery, the way it should work, probably thinking it'll be wildly different than the last couple of recessions that the U.S. economy and other economies have been through. The variables that are different here is a healthier Capital Markets environment, a lot of liquidity, and then the question mark around utilization and demand for office. Those are the two, I think, just generally speaking, are fairly unique variables here.
Vikram Malhotra: That's really interesting and good color. Just building on that office comment, maybe for you, Brett, or Kevin. I know they're shorter-term renewals last year, but as you look to this year and beyond, especially for many of the larger leases, they tend to start negotiations a year or two years prior to expiration. So, your comment on many tenants may, if they look to renew - if I'm paraphrasing, if they look to renew two years, they would potentially seek, or think they can get slightly less space. Is that based on just high-level conversations or what you're hearing? Are there any differences between large or small tenants or by sector? I just want to get a bit more color on that comment you made.
Brett White: Unfortunately - and I don't know if Kevin—first of all, is Kevin still on the line?
Kevin Thorpe: Yes, I'm happy to take a swing.
Brett White: Yes, Kevin, why don't hit this ball first and I'll just add any color when you're done?
Kevin Thorpe: Sure. I think the way to think about it is - and I'll use some numbers. In a typical year - and this idea of there's pent-up demand that's likely be executed on in the future, whether that's the second half of this year or into '22, here's, I think, the way to think about it. In a typical year, there's about 400 million square feet of office leasing that occurs in the U.S., and that's based on 87 markets that we track. So, that's all leases. That's new leases, which means businesses coming to the market to lease space. It includes renewals, so businesses just renewing their lease. That's all-in about 400 millions square feet. Last year, there was only about 250 million square feet of leasing that was completed market-wide, so a significant drop. So the inference there is companies didn't know what to do. So businesses that were in the market looking for space, many of them stopped, and some businesses that had leases expire, some of them said, that's it, let's that expire, let's go home for a year. We'll figure this out once we have more certainty. And many just said, let's renew a short—let's do a short-term renewal and we'll figure it out next year. And our tracking of renewals shows that number of renewals was double the norm. So, that was the environment. Now, fast-forward to this year, and what do we have? Well, there's likely this pent-up demand dynamic, where the businesses that stopped booking for space, they start up again and they look for space, they find space, they lease. Businesses who renewed last year for three to 12 months, which was very high, will now say, well, the pandemic is showing signs that it's behind us. Let's go forward and sign a longer-term lease. And businesses who said, let's just go home for a year, some will say, well, that way okay for some of the team, but it wasn't okay for everyone. We need to get back and have some space to be productive again, they'll sign a lease. So, I think that's sort of maybe the way to think about it and modelling it going forward, is will that pent-up demand activity, when will that get captured, maybe 2021, probably a good portion of it will, and then again, I think maybe even stronger in 2022. So, that's sort of my read on it, Brett.
Brett White: Yes, and the only thing I'd add to this - and well said, Kevin, by the way. I would add to this is, like the early days of the pandemic, when people were talking about, there were a lot of rash rhetoric in the market about we'll never use the office again or we're going to cut our footprint by 50%, and really, so far at least, none of that happened. I can find as many CEOs right now --well, I'll give you a specific example. One of our competitors, I was in a conversation with them not long ago, and they told me they had just renewed their HQ location. This would have been late summer of last year. And he told me that they renewed it at almost exactly the same square footage that they had, and he said, we could have changed buildings. We could have cut back. We could have added. We ended up getting about what we had before. And for a lot of reasons. They had redone the space, they were using the space differently, but they weren't able to get any less space. I can find a lot of CEOs that would tell you that they're going to try really hard to take less space in the near-term and as I mentioned, others that'll say they're going to take the same or might take more because they have a growing business. I think, unfortunately, this is a very fluid situation. I think Kevin, his considered view, with the data that he's seen, is probably the best place to land on this though. Again, for us, there's a lot of rhetoric in the market pointing in a lot of different directions, but rhetoric does not necessarily mean that is the way actions will ultimately be taken.
Vikram Malhotra: Fair enough. Just last one. On the PM/FM business, just post-pandemic, and just given kind of the increasing focus on ESG and climate change, can you talk - are two specific drivers, meaningful changes to the revenue line, one in terms of just leaning in security post-pandemic across the board, and then just anything climate change-related, does that eventually add to the business for PM/FM?
Brett White: I would say that all the work around ESG, in particular carbon, is certainly a revenue line for the services industry, and whether that'll be a material revenue line for Cushman & Wakefield or our peer group, or for others, I think is an open question. Certainly, all of us are quite focused at the moment on the potential business opportunities around building retrofit, building analysis and data gathering, and so forth. Certainly, it's a bit like a Y2K event. Building owners, and likely building tenants, are going to be paying a lot of money in the future around this issue, and people - services providers will be receiving some of that revenue from consulting work or retrofit work that they're doing. It remains to be seen whether it's a needle mover for us or other firms like us in the PM/FM space, but there's a lot of energy and work right now in our space, and in adjacent verticals, such as big engineering firms, and design firms all in this area. I think I'd fairly and best to describe it as an emerging and likely material opportunity for the industry.
Vikram Malhotra: Great, thanks so much.
Operator: Thank you. Our next question comes from Mike Funk from Bank of America. Please proceed with your question.
Michael Funk: Yes, thank you very much for the question. And Duncan, best of luck to you, and thank you again for the help. A few, if I could. In your prepared remarks, you talked about some of the funnel in property sales being pulled forward into 4Q, you talked about potential changes in tax rates with the new administration. Can you quantify how much of the funnel you expected to close in '21 got pulled into the fourth quarter of '20?
Brett White: No, I can't. Yes, we really don't know, but, Kevin, why don't you take a shot at this, at least anecdotally.
Kevin Thorpe: Yes, and it's true, I think, impossible to sort of parse that out, but my - so there was that spike in Q4, really in December, in sales volume. My impression is that that was a combination of factors, I think mostly of pent-up deal demand with a larger number of deals having been put off in preceding quarters, largely due to the pandemic and lack of activity. And then what was helped along, was we saw more liquidity in the debt markets, and then the vaccine optimism really started in the fourth quarter. And so, I also think there was some incentive from the fear of tax policy changes, 1031 is getting eliminated, something like that. But again, I think the strong December was a combination of factors. Then on the go-forward, I think we have to see how tax policy changes and go from there, will it change. Tax policy changes tend to be phased in, and so if there is a change, it's likely to be a phase-in over years. When you study the Capital Markets and just property throughout history, as long as there's time for the market to adjust, it adjusts to changes in policy. And there's all the other factors that are every bit as important to the economy and interest rates and geopolitical dynamics, and so forth. I think are just as important in sort of gauging the future trajectory there.
Michael Funk: Thank you for that. And maybe one for Brett and Kevin, if I could. I appreciate the slide where you try to show expected recovery in different property types. And it seems like the office piece correlates with consensus around reopening by kind of September back half of the year, repopulation of offices. So is your expectation that office leasing picks up after the repopulation? When you're talking with clients, are they saying they want to actually get people back into the office, analyze and evaluate how they're using the space? And then after they do that, recalibrate the space they need, or is it different? Do they try to do that before the repopulation of offices? Do they already have plans in place in terms of space needs?
Brett White: It's a great question, and the answer is yes, yes and yes. Every company is different. Look, if I'm going to generalize, I think that many, many companies are on a wait-and-see. And when no one's showing up in the offices and everyone's working from home, there's a lot of thinking going on, but until we get - we think that marker is probably around Labor Day. When we get past that marker and we start to see a more aggressive repopulation of offices. I think, my guess is that is when lots of companies will really begin to consider what their mid-term and long-term plans are for their footprint. Certainly, there are companies, a lot of them, that have been doing that for the past year. If you talk to the folks at Gensler or other firms like that, they're doing a lot of work, as we are, with customers on re-thinking the footprint. But, again, and I'm horribly generalizing, but to generalize, I think that these types of decisions are likely to be make post-occupancy, rather than the next few months. That's anecdotal. Now, Kevin's got better data on this than I do. Kevin, anything you want to either dispute on that or add to it?
Kevin Thorpe: No, I agree. I think it's very difficult to predict the return, full force return to office with any precision, a lot of moving pieces. If you look at it as of today, it's roughly 25% of employees are going into the office, and that's based on capital [ph] access data. And there doesn't appear to be a rush, certainly not in the next let's say, two to three months, a rush to get people back. As the vaccine gets administered to more people, we will gradually see more people return to the office and more occupiers encouraging employees - or CEOs encouraging employees to return to the office, and from there. I do think that's where you see a more of a significant pickup in activity in general. But I agree with your assessment there, Brett. My best guess, and what we're really hearing from a good majority of our clients is that sort of the return to full force. There will be a gradual return, but a full force return likely to be probably more in the September of this year timeframe.
Brett White: On your question about how do companies make decisions about the long-term for office space? If you think about the statistics that Kevin gave, the vast majority of office workers are going to be in the office the majority of the time. It may not be five days week, it might be three days a week, or four days a week. It's not that easy for a company to rework their footprint down because people aren't going to be in the office a day or two. Certainly, everyone's going to try. But this is, I think going to be somewhat of an incremental process and we're not going to really know how this plays out in the marketplace, I don't think for some quarters ahead of us.
Michael Funk: Yes, one of your peers said 85%, if it was 100% before, it would be 85% in the future, if you're willing or able to.
Brett White: Kevin's projections are almost - Kevin, you can say it for yourself, they're almost exactly that.
Kevin Thorpe: Sure. What's interesting about that is - I think there's just a ton of conjecture on that topic and we've modelled it or made our assumptions. Surveys generally show that businesses will now require somewhere between 10% and 30% less space, somewhere in that range. but what's I think, really interesting is so far, just so far what's really happened, is the total amount of occupied space in the United States has declined by less than 3%, and that's not saying that's not insignificant. As Brett said, there's 100 million square feet of negative absorption, so space that was leased pre-pandemic now empty. It's not insignificant, but 2.7% is very far from 15%, and feels very, very far from 30%. I think that we're just going to learn a lot more this year, yes.
Michael Funk: If I could, one more quick one for Duncan, just being aware of time. Duncan, in PM/FM, any potential impact from wage inflation on margin there, either through minimum wage hike or otherwise? What are your thoughts on that?
Duncan Palmer: Generally speaking, not, because most of our contracts, were able to recover that. So I don't think it'll be a particularly material impact on us either way.
Michael Funk: Okay, great. Hey, thank you all for the time.
Operator: Thank you. Our next question comes from Rick Skidmore with Goldman Sachs. Please proceed with your question.
Richard Skidmore: Good afternoon. Just a follow up question. As you look at Asia-Pacific, and my assumption is that Asia-Pacific's a few quarters ahead of the U.S. in return to returning to the office and vaccinations and the virus. Is there anything to learn from what they've done, specifically, around office leasing that might translate into the U.S. market? And then, maybe a follow up on that would be, as you look at your Asian business, would have expected maybe Asia-Pacific to be a little bit better year-over-year. Can you just maybe elaborate on what you're seeing in the Asia-Pacific market? Thank you.
Brett White: Sure. Let me just start with generally speaking. So, generally speaking, you're right, Asia-Pacific, for different reasons in geography. We look at as a leader coming out of the pandemic and the recession, as it pertains to our asset class commercial real estate. I think, at these early days - as was mentioned, I believe, Kevin, in your comments - we're seeing return to leasing activity, a return to support in the leasing markets in Asia-Pacific as a leader, because they are coming out in many jurisdictions before we are here. As it pertains to our own business and Asia-Pacific, it's a very large business, it's a very diversified business. There are positives and negatives in Asia right now. Hong Kong is still very, very locked down. They just imposed a 21-day quarantine for anyone that wants to come in to Hong Kong. Basically, what they're saying is, we don't want anyone here. And that has flowed through that markets, property markets that lockdown in a very severe way. On the other hand, our Vanke JV in Mainland China for PM/FM did quite well in '20. And we think we'll do the same in '21. So, I would say that, just generally speaking, Asia-Pacific, as a leading indicator for Western Europe and the U.S., would be a positive. We would take positive takeaways from that, but that's, again, very early days and a bit of a mixed bag over there. Kevin, I know that you don't, specifically, spend a lot of time in Asia-Pacific. Any comments you want to add to that?
Kevin Thorpe: No, I think that pretty much covers it. It is a positive story. There's an increasing number of examples where businesses in that region of the world are actually absorbing space. They're actually expanding and taking more space, and Mainland China is an absolute example. In fact, that region of the world absorbed 23 million square feet of office space in the second half of last year. It was actually double what they absorbed in the second half of 2019, Beijing, Shenzhen, Shanghai, all positive. And it's not just in Mainland China, you're seeing it in some of the Indian markets, in Seoul, Korea. I think it's important to point out the work-from-home dynamic is less accepted across that region of the world for a number of reasons, cultural reasons, and other factors. So I don't think we can say that what we're observing there, that same pattern will be followed in other parts of the world. But, equally, I don't think you can dismiss the fact that the one region of the world where the virus is more contained is seeing more of a snapback in demand for office space.
Brett White: Yes, I would just add to that. I just received a text from our Company President, who's in London, staying up very late this evening. But John Forrester pointed out that what he's seeing, at least in the early days, is that it's not necessarily a direct correlation between 10% or 8% or 15% less people in the office and 8%, 10%, or 15% less need for space. Trying to put it into layman's terms - and I use this example with our competitor just at their headquarters - you may leave 8% or 10% of your office staff at home permanently, you may very well use that space differently going forward and not be able to have less space. People are definitely going to rework the way they layout space going forward and there's a lot of energy around that right now. It doesn't necessarily mean, though, that if you cut how many people are in the office on any given day by 15% or 20%, you can just cut your square footage by 15% or 20%. John's just mentioning to me by text here that that's what he's seeing, at least in these early days in the marketplace. I think it's a very good point.
Richard Skidmore: Great, thank you for the color.
Operator: Thank you. Our last question comes from Patrick O'Shaughnessy with Raymond James. Please proceed with your question.
Patrick O'Shaughnessy: Hey, good evening. In the interest of time, I'll just keep it to one question. So multifamily and industrial logistics are obviously pretty hot areas right now. How comfortable are you with your Company's capabilities in those property types, and what are your aspirations to potentially build further in those areas?
Brett White: Yes, it's a great question. We love those two verticals, but multifamily and industrial logistics, they're right in Cushman & Wakefield's sweet spot. We have a very, very deep capability, particularly in the U.S. and parts of Asia-Pacific, in industrial logistics. We would like to up-weight industrial logistics in Western Europe, and that is one of the initiatives that we're quite focused on this year. Multifamily, we identified multifamily some time ago as a very attractive vertical for us. Five years ago, we made quite a significant acquisition for the firm in the U.S. on multifamily Capital Market. You may recall that --, going on almost two years ago now - we purchased Pinnacle, which is a leading multifamily property management business here in the U.S., actually domiciled here where I am in Dallas. We've been bullish on both those verticals. The industrial logistics business in the U.S. has always been one of the core strengths of Cushman & Wakefield. So for us, the good news is we don't have to recognize now that these are great places to do business and startup businesses there. We can now leverage into what is already a compelling platform in both those verticals, recognizing that we have geographies, as I mentioned, such as Western Europe, where we think there's some tremendous white space to grow our industrial logistics business, and we intend to do that quickly.
Patrick O'Shaughnessy: Thank you.
Brett White: You bet.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back to Management for any closing comments.
Brett White: Sure. Well, we appreciate all the questions this evening. You can tell when you're in a very fluid economic situation, that everyone is very curious about everyone's views about what the future looks like. And we hope that tonight's call gave you some clarity on our views of the future. We look forward to talking to you all in another quarter. Be well and be safe. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful evening.